Tobias Björklund: Thank you, operator, and welcome, everyone, to Novozymes Conference Call for 2023. So my name is Tobias Björklund, as mentioned, and I'm the Head of Investor Relations at Novozymes and now Novonesis. At this call, our CEO, Ester Baiget; and our CFO, Rainer Lehmann, will review Novozymes' 2023 unaudited performance and key events of the year. Also attending today's calls are Tina Fanø, EVP, Agriculture and Industrial Biosolutions; Amy Byrick, EVP Strategy and Business Transformation; Anders Lund, EVP Consumer Biosolutions; and Claus Fuglsang, CSO and EVP of Research and Development, all in Novozymes. The entire call will take about 50 minutes, including time for questions at the end. As always, I would like to remind you that the information presented during the call is unaudited and that management may make forward-looking statements. These statements are based on current expectations and beliefs and involve risks and uncertainties that could cause actual results to differ materially from those described in any forward-looking statements. With that, I'll now hand you over to our CEO, Ester Baiget, who will lead the very last conference call for Novozymes as a standalone company. Ester, please?
Ester Baiget: Thank you. Thank you, Tobias, and welcome, everyone. Could you please turn to Slide number 3. Before we start the presentation of our 2023 performance, I would like to take this opportunity to thank our employees, our shareholders and all our stakeholders for their support over the past 13 months. Three days ago, we completed the combination with Chr. Hansen creating our new company, Novonesis, and marking the start of a new era of biosolutions. Working with our customers, Novonesis will enable an acceleration of the use of biosolutions across multiple markets, and by combining these two amazing companies, we are set to create even greater shareholder value. I would like to also welcome Rainer Lehmann, our CFO, at Novozymes and Novonesis. Rainer joined us on November 1st and brings a wealth of knowledge on how to lead, optimize and drive efficient finance organization focusing on returns, cash utilization and process efficiencies. I am very excited to have Rainer on board. And together with the rest of our new leadership team, we are in a very strong position to execute on and build Novonesis' future. With that, let us now look to the 2023 performance for Novozymes. Overall, we performed very well in 2023 and in line with expectations. Organic sales growth of 5% was driven by pricing with flat volumes. In the fourth quarter, organic sales growth stood at solid 6% with pricing at around 4% and volumes growing by roughly 2%. Pricing for the year and the fourth quarter continued to be roughly similar across business areas, although a slightly less positive in Household Care. As mentioned, the overall growth performance for the year was very much in line with expectations we provided at the beginning of the year. We are expecting a stronger second half. We were expecting a stronger second half of the year, and the results we are presenting today confirm just that. We continue to see that our well-diversified portfolio of solutions and broad market exposure provides us stability and growth in a volatile market. The solid 6% organic sales growth in the fourth quarter was driven by Bioenergy at 20% as well as Household Care at 10%. Agricultural, Animal Health & Nutrition was impacted by timing issues and continued destocking in BioAg whereas Grain & Tech Processing reversed the declining trend and posted growth. The ongoing destocking trend in the food-related part of the business continued longer than expected as customers' optimized inventories at the end of the year. Coupled with a strong comparator, Food, Beverages and Human Health declined. Adjusting for a one-off in the first quarter, the segment was roughly flat for the year. During the year, we launched 18 new solutions and we initiated dialogues and increased our market penetration of new innovation and new product launches, driving performance across business areas. As expected, we delivered year-on-year as well as sequential gross margin expansion in the fourth quarter. The expansion in the fourth quarter was a bit softer than anticipated as our sales mix was impacted by lower-than-expected sales in Human Health and BioAg solutions. Price increases and productivity improvements continued to contribute to offset the effect of higher input costs. We delivered a solid 25.4% EBIT margin before special items for the full year. The performance was in line with our expectations and well aligned with our full year outlook at between 25% to 26%. The underlying EBIT margin b.s.i. for the year was slightly higher than the reported and around 26% for the fourth quarter. Our strong free cash flow in the fourth quarter took the full year figure to DKK 2.1 billion following lower net investments after a cycle at elevated levels. Novozymes is in a good place with supportive growth drivers for both the short and the longer term driving sustainable, profitable growth. We are continuing to invest for growth to secure the right portfolio of solutions for our customers. One example is our Advanced Protein facility in Blair, Nebraska that was taken online in December with first commercial sales in January. With this, let's now look at each of the five business areas in more detail, starting with Household Care. Please turn to Slide number 4. Thank you. Household Care delivered 5% organic growth. Growth was driven by continued innovation and penetration across both developed and emerging markets, more than offsetting the negative impact from industry volume softness in the first half of the year. Growth in developed markets was driven by innovation, including the Freshness technology and performance was solid in both laundry and dishwash. Softer consumer demand and down-trading had a negative impact on volumes in the first half of the year, and we saw market conditions stabilizing in the second half. In emerging markets, we saw continued penetration of enzymatic solutions across formats as the main growth driver. Latin America, the Middle East and Africa delivered the strongest growth areas – rates and pricing had a positive impact through the year. Organic sales growth in the fourth quarter was strong at 10%, supported by pricing. Growth was led by emerging markets with strong growth across regions driven by innovation and penetration of enzymatic solutions. In developed markets, we saw solid growth as we continued to bring value to our customers through innovation, enabling better performance and stronger claims. 2023 was a good year for our Household Care business with multiple growth drivers. These same drivers will continue to support the business over the coming years. Household Care benefits from stronger regional innovation and presence, a focus on superior cleanliness and the growing demand for sustainability and energy-reducing technologies, creating a pull for bio-based solutions. Please turn now to Slide Number 5. Thank you. Food, Beverages & Human Health declined 2% organically in 2023. Sales were negatively impacted by roughly two percentage points as the first quarter comparator included sales of a specific enzyme solution, which has not been sold this year. Adjusting for this effect, we saw roughly flat performance with positive impact from pricing. Destocking across the value chain in Food & Beverages, in combination with softer end market demand, had a negative impact. We saw an improvement during the second part of the year compared to the first half, although the year remained overall in negative territory. Excluding the Q1 comparator impact, Food had the strongest relative performance of the sub areas, including a positive impact from recent innovation in baking. Human Health was soft as supply chain constraints impacted our ability to accommodate the demand in the first health – in health care practitioner channel in the first half of the year. And additionally, there was a general softness in North America demand for probiotic solutions. Looking at the fourth quarter, Food, Beverages & Human Health declined 4% organically. Performance was softer than expected on a tough comparator as we grew 16% in the fourth quarter of 2022. Lower volumes were only partially offset by positive pricing. The softer-than-expected performance on a tough comparator was driven by the timing of orders from year-end inventory; optimization among customers, especially in baking; and some impact from a more volatile-than-expected order pattern. Overall, the destocking trend continued to level off compared to previous quarters. Additionally, while Human Health declined year-on-year, there was a sequential growth in the fourth quarter, although at a slower pace than anticipated. Over the last three years, we have delivered annual average organic revenue growth of 7% in Food, Beverages & Human Health, in a market characterized by a high level of volatility. Going forward, we will continue to benefit from a strong pull for sustainable solutions, clean label and health, allowing our innovating solutions to penetrate the different underlying markets. In Human Health, we see growth momentum returning following the supply chain constraints and we have seen a stronger second half of the year compared to the first half. In addition, our Advanced Protein facility in Blair, Nebraska has come online ready to support our growth journey. Please turn to Slide Number 6. Bioenergy sales grew 23% organically in 2023. It was another very strong year as our innovation in this industry continued to drive value for our customers. The strong performance was supported by solid market fundamentals and driven by the continued penetration of innovation and geographical expansion. Growth was driven by innovation and strong penetration in North America, creating additional value for our customers. Market fundamentals were favorable with solid and stable producer margins for most of the year, and the EIA estimates that U.S. ethanol production increased by around 2%. Growth also benefit from capacity expansion of corn-based ethanol in Latin America and biodiesel. And we saw very strong growth in enzymes used for biomass conversion, commonly referred to as second-generation biofuels, although from a small base. Additionally, pricing had a positive impact. The fourth quarter organic sales growth of 20% was ahead of our expectations, driven by factors similar to those for the full year performance and supported by solid market fundamentals, including higher-than-expected volume growth in the North American ethanol production of 4% according to the EIA. The ability to diversify our portfolio of solutions and create more and better innovation to customers in the Bioenergy business has taken us to a different place compared to the past. We have unlocked a diverse set of structural growth levers that will continue to drive performance going forward. These ones include diversification of the bioethanol producers’ revenue stream, enabling our customers to generate more value from the side streams of ethanol production, geographical expansion of ethanol production and penetration in areas where we are early in the market development such as biodiesel production through enzymatic solutions, expansion of the biomass conversion into ethanol and sustainable aviation fuels. Please turn to Slide number 7. Thank you. Sales in Grain & Tech Processing declined 6% organically in 2023 explained by the decline in Tech. As expected, Tech was adversely impacted by the significantly lower sales of enzymes for COVID-19 test kits and also much softer-than-expected textile market. Growth in Grain was driven by increased market penetration in vegetable oil processing and distilling and continues to be underpinned by our innovations. This was partially offset by destocking impacted by a softer grain market. Pricing had a positive impact in both Grain and Tech. Fourth quarter organic sales grew – were up 2%. Growth was supported by pricing and mainly driven by Grain as the impact from destocking started to level off. Tech show a slight improvement. Looking ahead, growth in Grain & Tech Processing continues to be supported by demand for sustainable solutions and efficiency gains as well as growth in emerging markets, driving demand for industrialized food production and process optimization. Please turn to Slide number 8. Agricultural, Animal Health & Nutrition sales increased 3% organically in 2023, driven by Animal Health & Nutrition and supported by pricing. Growth in Animal Health & Nutrition continued to be driven by innovation with recent product launches doing well and higher end market-driven demand for our sustainable solutions. Performance in Agricultural was soft impacted by destocking in the value chain and volatile end market demand. Fourth quarter organic sales declined 7% with a negative performance in both Animal Health & Nutrition and Agricultural that was partially offset by positive pricing. Animal Health & Nutrition was impacted by the timing of large orders, and the underlying innovation-driven momentum continued. Agricultural continued to be impacted by destocking and a volatile end market. We see promising growth drivers ahead that will be powered by this growing demand for sustainable and yield-optimizing solutions in food and crop production. Innovation and better access to a market supportive of biological solutions, a key to unlock this vast potential over the coming years. And we have a strong portfolio and pipeline of solutions supporting future growth. And with that, I will hand over to Rainer for a review of the financials. Rainer, please?
Rainer Lehmann: Good morning to all of you, and thank you, Ester. Please let's turn to Slide number 9. And let me start by introducing myself first. My name is Rainer Lehmann, and I'm the new CFO of Novozymes and now Novonesis. I'm very excited and humbled by the opportunity to join the company on our future journey as an even stronger global leader in biosolutions. I've spent most of my career in the biopharma sector, leading and setting up efficient processes with a focus on sustainable, profitable growth and to create attractive shareholder returns. This is also a journey that I, together with the leadership team, will drive in Novonesis, starting immediately. I look forward to seeing many of you in the future. With that, let us have a look at 2023. As Novozymes just closed the combination with Chr. Hansen on January 29 and the annual report now is expected to be released on February 8, this announcement only contains unaudited numbers. Full audited financial statements as well as nonfinancial numbers will be released with the annual report on February 8. This result update allows us to provide you selected numbers for Novozymes standalone as early as possible. So let's move on to the results. Sales grew 5% organically and 2% in the reported Danish kroner. Currencies and divestments provided a three percentage point headwind during the period. For the fourth quarter, sales grew by 6% organically and increased by 2% in Danish kroner as currencies and divestments had a 4 percentage point negative impact. Pricing contributed around 5% for the year and roughly 4% in the fourth quarter. The gross margin was 54.3%. It were slightly below last year's gross margin, mainly due to the high input costs and partly offset by continued progress in pricing and productivity improvements. The fourth quarter gross margin was 54%, which was 50 percentage points higher – sorry, 50 basis points higher than last year and 20 basis points higher than in the third quarter. While we had anticipated a stronger Q4 gross margin, it was slightly lower than expected mainly due to the sales mix. The EBIT margin before special items was 25.4%. The decrease of 100 basis points from last year was mainly related to lower other operating income and the lower gross margin as well as a somewhat negative currency effect. The underlying EBIT margin before special items for the year was around 25.5%, which was in line with the underlying margin before special items in 2022. In addition to receivable provision and some extraordinary employee-related costs in the fourth quarter, we adjusted 2023 figure for the positive effect of the wastewater divestment and the negative one-off cost associated with the resource alignment in the commercial area, both of which occurred in the first quarter of 2023. For 2022, we adjust for the large positive effect of the 21st.BIO accounting gain and other small one-off adjustments relating to the first half of 2022. Additionally, currencies affected the margin somewhat negatively for the period. Looking at the fourth quarter, the EBIT margin before special items was 25.1%, 170 basis points higher than in the same quarter of last year. The one-off adjustments for Q4 were mainly related to a provision of uncertain receivables in Argentina, as well as extraordinary employee related costs. Adjusted for this, the underlying EBIT margin before special items was around 26% for the quarter, or around 3 percentage points better than for Q4 of last year. The underlying improvement was the result of an improved gross margin, a lower OpEx to sales ratio and higher operating income. Currencies had a negative impact on the year-on-year performance. Special items impacted the reported EBIT margin by DKK576 million for the year. For the fourth quarter, the impact on the reported EBIT margin was DKK202 million. In both periods, special items were entirely due to costs related to the combination with Chr. Hansen. Net profit amounted to slightly more than DKK3 billion. The decrease compared to the same period last year was mainly due to higher special items and lower other operating income as the divestment of Albumedix benefited last year’s performance. Also, the effective tax rate was higher in 2023 compared to 2022. Return on invested capital, including goodwill before special items ended at 16.5% compared to 17.9% for the same period last year. The difference being explained by a lower profit primarily due to lower positive year-on-year one-offs and higher invested average capital. The 16.5% for the year was right in the middle of the 16% to 17% that we had in our outlook since the beginning of the year. Free cash flow excluding acquisitions was DKK2.1 billion for the year and well within the anticipated DKK1.8 billion to DKK2.2 billion range. The realized amount was roughly DKK1 billion higher compared to 2022, mainly due to the expected lower net investments. Now, please turn to Slide number 10 for an update on the flow of events and communications regarding – relating to Novonesis. Since December 12, 2022, when we first announced our intention to combine with Chr. Hansen both companies have worked diligently towards the closing. Since our last update at the Q3 earnings release, we have gained approval in South Korea and the EU. Last Friday, the European Commission approved Kerry Group as a buyer of part of the Global Lactase Enzymes Business. We registered with the Danish business authorities on January 29 and by doing so gained full regulatory approval and completed all registrations. Now the integration work starts. Leveraging from the more than 20 work streams we have already started. Let us now look at the – what the process looks like with regards to what and when. You can expect more information about Novonesis. Please turn to Slide 11. We provided details to the flow of communication of – for Novonesis in the deal closing statement three days ago. I just wanted to recap it here briefly. We will issue Novozymes 2023 Annual Report next week on February 8. As we are consolidating and validating numbers and making sure we provide you with the correct baselines and expectations, we will provide pro forma numbers for Novonesis, including revenue, organic revenue growth, key financial numbers, as well as a 2024 outlook no later than by March 31, 2024. We are dedicated to make sure we provide you the right level of transparency to be able to follow our performance. The key value driver for Novonesis is our organic revenue growth, and we will provide full update on this each quarter going forward. Profitability will be provided at the half and full year announcements, but will of course, indirectly be considered each quarter as we comment on the full year outlook. We will provide operating profitability numbers for the two divisions, food and health and planetary health, to ensure better transparency compared to what you were used to for legacy Novozymes. We’ll provide revenue numbers for the four sales areas as defined in the closing announcement from Monday this week, and believe this gives the right balance of information for a company of this size. We will of course make sure to provide comments and further performance insights to the – what the underlying sales drivers are for each sales area, making sure we give the relevant level of transparency. The dividend for the September 1 to December 31 period will follow the payout ratio applied for the previous interim dividend for legacy Novozymes. The proposed dividend for the period will be announced by the Board of Directors of Novonesis in connection with the notice to convene the Annual Shareholders’ Meeting, which will be held on April 30. Last but not least, we’re happy to announce that on June 18, we will host a Capital Markets Day in London where we’ll provide more color on Novonesis and what this exciting new era in biosolutions will look like. We look forward seeing you there. With this, I’ll hand now back to Ester for a wrap up. Ester?
Ester Baiget: Thank you. Thank you, Rainer. Please turn to Slide number 12. Thank you. Let me summarize our main messages today. We delivered solid performance in 2023, executing on all outlook parameters. The results for 2023 and the fourth quarter are additional proof points to the strength of our well diversified portfolio and broad market exposure. This gives us comfort for the future. We reach a significant milestone by taking our advanced proteins facility into operations late last year, and we are already shipping and selling products here in January. The work to close the combination with Chr. Hansen has completed and we are now set stronger to accelerate the next area of biosolutions with the full power of Novonesis. Novonesis is the combination of best-in-class capabilities to deliver superior long and short-term performance, including the execution of synergies. We will enable more and better biosolutions with a capability to deliver higher, sustainable and profitable growth. This will be to the benefit of customers, consumers, shareholders and the world we live in. And with those concluding remarks, we're now ready to open for questions. Operator, if you could please begin the Q&A session would appreciate that. Thank you.
Operator: Ladies and gentlemen, at this time, we will begin the question-and-answer session. [Operator Instructions] The first question come from Alex Jones with Bank of America. Please go ahead.
Alex Jones: Good morning. Thanks for taking my questions. Two, if I may. The first one, just on Food & Beverage, you talked about sort of Q4 being impacted by volatile order timing and destocking into year end. Can you just give us a bit of an idea how trends have changed, if at all, into Q1 whether growth has improved volumes turn positive would be very helpful. And then the second question, just on the integration, perhaps, Ester, can you give us a bit of an idea in the first couple of months what your priorities are in terms of managing that integration and making sure it goes smoothly? Thank you.
Ester Baiget: Excellent, excellent questions, Alex. I'll let Anders give you the comfort of the underlying fundamentals of food and the positive momentum moving forward. And then I will answer your question on integration and the main priority for not only the next couple of months, but also moving forward. So yes, we are in a place of extraordinary comfort and satisfaction of combining these two companies and now the works, the joy really begins. The main priorities for the near future, the first 100 days, it is internally people, people, people ensuring our teams align, ensuring we're putting the energy in the right direction, ensuring we continue precious care and attention to our customers and the rest of the organization relate to delivering the value added solutions and deliver on the expectations and moving firmly on the 6% to 8% growth that we committed to and also the 29% EBITDA margin expectations for the first period. Then also spending time with customers, bringing the voice of Novonesis and the broader toolbox capabilities that we have as a value, a stronger value enable from our customers. We're getting extraordinary level of traction here. And that's going to be a big area of component of my time. But then, Alex, please be reminded, okay, it's good that you asked me about my time, but it's everybody's specialty and the next – the whole organization time, the one that is relevant. We are going to be focused on delivering to our commitments continue to keep the house firmly on delivering up to expectations, focus on customers, and then implementation of the 2022 streams that we have been working on, how we extract the value of the synergies without dropping the ball and the precious attention to our customers. And Anders leaving it to you.
Anders Lund: Thanks. Thanks, Ester. And on sort of year end and what we have seen here in Q4, we saw some continued destocking, but maybe more importantly, we saw some inventory adjustments by some of our larger customers, especially in the baking area and with distributors. When we look towards next year, we believe that the Food & Beverage market will return to growth. But low single volume growth is what the anticipation is.
Ester Baiget: Next question, please.
Operator: The next question comes from the line of Lars Topholm with Carnegie. Please go ahead.
Lars Topholm: Yes, thank you. Congrats with a good quarter. A couple of questions on my side. One is on bioenergy and the growth there, and I wonder if you can add some color to the growth you're seeing in the U.S. So what I'm interested in a Q4 where underlying volumes grow 4%. How much faster does your U.S. business grow? And to the extent that growth is driven by increased penetration, which percentage of your customers have already taken on board that additional product offering, and how long can you continue to increase penetration there? Then a second question to Rainer, because I could read on market wire that you had stated growth in the second half of Q4 had been stronger than in the first half of Q4. I just wonder if you can add some comments to that. Thanks.
Ester Baiget: Thank you, Lars. I'll let Tina bring a further color on the drivers of growth, which is, yes, penetration. It's also value creation with unlimited unleash potential from biosolutions that we are only stopping to dip in and then pass the word to Rainer afterwards. So, Tina, first.
Tina Fanø: Yes. Can you hear me?
Ester Baiget: Yes. Yes.
Tina Fanø: Very good. Very good. So North America in Q4, but also for the full year was the biggest contributor of growth. And I’m not going to – and if you look at it then, Latin America was following that. Given that Latin America, although getting to a decent size, it is smaller than or significant smaller than North America. So therefore the growth rate for Latin America was bigger. In terms of what were the growth drivers in North America at last, it is the growth drivers from penetration, from innovation. It is also from biodiesel. So there is a number of growth drivers. It's not one thing which is driving the growth. It is, in fact, across the board. It is the fiber, it is the yeast, it is the traditional enzymes as well, where we have also have done some launches. So it's many things supporting the growth.
Lars Topholm: But, Tina, I'm all wondering if there's anything suggesting this is a 2023 phenomenon and then this journey comes to an end, or if you are just at the beginning of this journey or in the middle of it for that matter.
Tina Fanø: Yeah. So Lars, what I would say is that is the talk to in the call to the fundamental growth drivers and we see these moving ahead also into 2024. We do expect to outgrow the underlying volume market also in 2024. We also talked about that in Q3. But the exact and how much and where we are is something which we'll have to come back with. But it's not so – you shouldn't expect that this is going to come to a stop. But you also have to take into consideration that the comps become tougher as we get into 2024. But that's unfortunately where I have to leave it for now.
Lars Topholm: That's fair enough, Tina. Thank you.
Rainer Lehmann: Good. Lars, and to your question, what I said on MarketWire’s was actually that the second half of 2023 was stronger than the first half of 2023. So we basically…
Lars Topholm: Okay. So that's not what they…
Rainer Lehmann: Unfortunately probably was they’re not translated the right way. I'm sorry about that.
Lars Topholm: Fantastic. No problem at all, Rainer. Thank you.
Ester Baiget: Which is exactly what we – I mean, it's strongly consistent with what we projected, right? We came into the year knowing that we had one-offs in food on Q1. We came into a year knowing that the first half would be softer than the second half or the second half would be stronger and that we have delivered according to expectations.
Lars Topholm: Thank you, Ester. Thanks for taking my questions.
Ester Baiget: Thanks to you, Lars. Always a pleasure. Next question, please.
Operator: The next question comes from the line of Alex Sloane with Barclays. Please go ahead.
Alex Sloane: Hi. Morning, all. Thanks for taking the questions. I've got two, please. Firstly, I wondered, could you give us any color on how the input cost outlook is for Novozymes in 2024 and your confidence that the price increases that you've taken in 2023 can prove sticky in this context? And then the second one is just a follow-up on the food, beverage and human health. I think you referenced an expectation of the market returning to low single volume growth for 2024. Is that right that you're talking about the market there? And would you expect to grow ahead of the market? Thanks.
Ester Baiget: Excellent. Thank you, Alex. I'll give a little bit of color on the first question, please. Also, Rainer, chip in and put even more details and then, Anders to elaborate on food. Your comments on the input cost, yes, we're seeing the easing of the input cost and that will continue to be there. We're extremely pleased about the gross margin expansion versus same quarter last year. It just feels so good to say that. Gross margin expansion versus same quarter last year and this is the collection of the fruit of a lot of work across many areas. Yes, it was easing of input cost and energy, but pricing was there. Volume growth also, we saw volume growth in Q4 and productivity improvements that continue to contribute in the bottom line. And you would see those drivers then as a continuity moving forward. We finished the year as expected with flat gross margin. We said we would reach gross margin expansion at the year end and that we're moving into the place of gross margin expansion. And we see all the underlying fundamentals, the pricing, the volume, the productivity, the pull from our solutions and then the lower cost continued to be as strong as it was. Rainer, please further detail.
Rainer Lehmann: There's really not that much to add, Ester. To be honest, no, but we clearly see the easing of input cost, which would obviously be reflected going forward. And then keep in mind, the guidance we keep will issue at the end of March.
Alex Sloane: Excellent.
Rainer Lehmann: And on Food & Beverage, yes, it’s important to stress that this market that is low single-digit, again, this is not an anticipation of where we expect to end the year. We have a lot going on, on the Food & Beverage arena; we have a lot of innovation coming. We have best bite in baking, a real transformational technology. We have Lumista Gold in brewing. We have Vertera ProBite in plant-based. So, we have a lot of underlying drivers for growth for next year. In addition to that, we expect pricing to continue to be a positive contributor. And then the agenda that’s been on the table for many years is penetration in emerging markets. So when we say low single digits, it’s the underlying sort of market volumes.
Alex Sloane: Very helpful. Thank you.
Operator: Next question…
Ester Baiget: Maybe would be – I would be missed if we would not add Blair. We just – we started last year, our plant, and then we already have sales effectively material in January with material being produced, material being shipped, and sales contributing and we’re going to be seeing them as a contributor for this year.
Operator: The next question comes from the line of Charles Eden with UBS. Please go ahead.
Charles Eden: Hi, good morning. Thanks for taking my questions. A couple for me, please. Firstly, on the first shipment of the Advanced Protein Solutions in Blair that you mentioned occurred in January, can you confirm you still expect to deliver at least a DKK1 billion in sales within five years? And can you also provide any color on how you’d expect to progress towards this target, i.e. relatively straight line, front-end loaded, back-end loaded. And I was wondering, now it’s formally started shipping, are you able to confirm the identity of the anchor customer formally? Secondly, on Household Care, you mentioned Q4 was driven by strong innovation and pricing. Are you able to identify or quantify rather the contribution from pricing within the 10% organic sales growth in Q4? And maybe within that, are you confident that there hasn’t been any pull forward from Q1 into Q4, specifically in Household Care? And then, sorry, just to sneak another one in, just on the gross margin, following up from the last question, there’s a comment in the release around a negative mix impact in Q4. Is that simply a comment referencing lower gross margins at Bioenergy and Household Care versus other divisions? Or has there also been a notable mix change within divisions? Thank you.
Ester Baiget: That was a long two questions, Charles, but maybe let me give you a short answer on the first one. And Amy, pleased to build. So, yes, we’re still committed. We’re fully committed on the DKK1 billion for the pipeline of protein. And no, we’re not sharing the name of the anchor customer. And then Anders will further build up on the Household Care. Maybe let me briefly answer also the question on the gross margin. As you know, all our solutions have comparable margins across the whole envelope. That’s the beauty of the toolbox that we’re bringing in. But then with BioAg and OneHealth with higher gross margins, which we have seen softer volumes than expected in the second half. We have seen OneHealth stronger in the second half that we projected, but that recovery has been softer than the one that we were projecting, leading then to a slight hinder on the gross margin overall. Amy?
Amy Byrick: Sure, yeah. Just to build on Blair, I mean, as we said, exciting to see first shipments out the door to our anchor customer indeed, I think the DKK1 billion in five years, we still see that pipeline. As we continue to build the new pipeline of proteins, it will be somewhat some degree of back end loading in terms of the phasing of that. And then the pipeline, as we’ve spoken about on previous calls, very much building that pipeline in taste and texture and also in the Health & Nutrition space.
Anders Lund: And on Household Care, the impact of pricing in Q4 was similar to the average of 2023. So that’s not the main driver. The main driver is very strong innovation contribution, including freshness for the quarter. Then we are seeing more wins on biological detergents, especially in the emerging markets that’s also driving growth. And then of course, pricing did contribute, but not different than any other quarter in 2023.
Ester Baiget: Next question please.
Operator: The next question comes from the line of Günther Zechmann with Bernstein. Please go ahead.
Günther Zechmann: Hi, good morning all. Thanks for taking my questions. Firstly, could you help us break down the 10% organic sales growth in Household Care, please? Any way to slice and dice that how much of that comes from innovation? You mentioned several times in the press release. Will that go through price mix or volume mainly? And what was the underlying pricing in Household Care, please? And then secondly, could you just run us through what you see across the business lacking an explicit outlook for at least for the start of the year in January, and in so far as your order book visibility is for February, please? Thank you.
Ester Baiget: Could you just maybe repeat a little bit the second question, sorry, Günther, it was not very clear to understand you.
Günther Zechmann: Sure. If you could just run us through the business, what you've seen for the start of the year. I know you don't provide an explicit outlook for the full year yet, but what you're seeing or have seen in January and what your order book tells you for February, or as far as your visibility goes? Thank you.
Ester Baiget: Okay, thank you. So the first question is, no, we're not going to be able to provide you the information of how the year is starting. I can tell you that the underlying drivers of the demand, what we see in the market remains intact and remains very strong. We've seen destocking behind us in food. We see the continued pull of our solutions across all segments. Anders [ph] guide you before on the drivers on food, on health, on clean labor, we see the Blair and those material shipment, we see the pull for biosolutions on replacing fossil based fuels in bioenergy, not only gasoline, but also coming from new other potential solutions like SAF or biodiesel. We see the geographical expansion, we see biomass coming in, we see the grain picking up with also the destocking behind. And Household Care, beautiful growth coming from everything you said, from innovation, from pricing, maybe it's a little bit lower than the rest of the business, but also growth in emerging geography. So those underlying drivers, we see them remaining intact. But we'll have to wait till march to come you with a little bit more precise on how does it look like, latest March. Thank you for the reminder, latest March.
Anders Lund: As a little bit more color. We communicated we did 4% across the business on pricing for the quarter. As Ester said, a little bit lower in Household Care. But if you look at the two other drivers that I mentioned, then I won't give you the exact number, but they're sort of fairly equally split. That innovation delivers a significant part including freshness. And then the biological detergents predominantly in emerging market is delivering sort of the other third. And then if you take sort of that, then you can get to the 10% on average.
Ester Baiget: Next question please.
Operator: The next question comes from the line of Søren Samsøe with SEB. Please go ahead.
Søren Samsøe: Yes, good morning all. A few questions from my side. First of all on bioenergy, if you could talk a little bit about, we have seen the gross margins coming down. They are still positive though. I was just wondering whether you see this impacting your business in 2024 or if that's only a problem if they become negative? Then the other questions was regarding to this provision for bad debt on customers in Argentina. Maybe just tell us how big is Argentina roughly of the total sales and if these provisions cover the main part of the problem or is there a risk that more come from there? Thanks.
Ester Baiget: Tina, if you could answer the question on bioenergy and then Rainer, please, on the provisions. Do we still have Tina on the line or we lost her?
Tina Fanø: I am on the line. Can you hear me?
Ester Baiget: Yes.
Tobias Björklund: We hear you.
Tina Fanø: Can you hear me? Good. Yes, so the gross margin has been declining here towards the end of 2023 and also here in the beginning of the year. And yes, we have talked about the gross margin and inventories is important. However, you cannot make ethanol without adding enzymes and yeast. So it's a fundamental for doing it. And also you also have to think about a number of the solutions, especially some of the new ones we have developed is also helping our customers improving their gross margin, given the diversification we're enabling them to do. If you want to do a high protein solution, you get a better gross margin. So it's not as simple as that. But I would say back to what we talked about before, I mean, yes, the base is higher. Yes, EIA is looking at flattish growth for 2024. But overall we still see good momentum. We see the underlying drivers. Our play in bioenergy is much more a matter of diversification and innovation.
Ester Baiget: Thank you, Tina. Rainer?
Rainer Lehmann: And regarding the development there in Argentina, regarding the provision, basically the biggest part of the 40 million difference between the reported and underlying margin is actually attributed to Argentina. It's more a conservative accounting at this point in time, to take into accounting the volatility that we're faced there.
Søren Samsøe: Okay. So not a big further risk to come?
Rainer Lehmann: No, no, no.
Søren Samsøe: Okay. Great. Thanks.
Tobias Björklund: Next question please.
Operator: The next question comes from the line of Chetan Udeshi with JPM. Please go ahead.
Chetan Udeshi: Yeah. Hi. Thanks and morning. I had two questions. First on I'm a bit confused. What was the underlying EBIT margin in Q4 excluding all the one-offs, both from this year but last year as well? I think you mentioned 300 basis points increase, but what is the actual figure just to make sure we are in the right ballpark? And the second question, I didn't hear any comment on pricing for 2024. Can you talk about how are you thinking about pricing for 2024? Are you still aiming for an increase? Is it 1%, 2%? Just any color there would be useful. Thanks.
Ester Baiget: Thank you, Chetan. Too early to talk about guidance for next year? Let me answer the question from what consistently what we have been saying in the past. Pricing is here to stay as a driver of growth. The times where we had revenue rose of price of 1% to 2%, they are behind us. 5% growth on price, it's what we deliver this year that's exceptional year. We are aiming for price to be a continued contributor of growth on the level of magnitude that we will show when we're coming with a guidance but next year, as usual, and as we always been saying this is a company that's growing from volume, we're growing by winning share, we're growing by expanding the penetration of biosolutions and then at the price that reflects the fair share of value. So you should expect pricing to continue to be there as a driver of growth coupled with volume and then margin with also productivity improvements. And as we mentioned before for next year also with the ease of the raw materials. And Rainer, I will pass it to you to clarify.
Rainer Lehmann: Yes. So the underlying margin basically in Q4 is 26% and for the whole year it's 25.5%, so right on previous year level, underlying versus underlying. Does that clarify it?
Chetan Udeshi: Good. Thanks.
Rainer Lehmann: Yes, okay.
Chetan Udeshi: Yes.
Tobias Björklund: Next question please.
Operator: The next question come from the line of Nicola Tang with BNP Paribas. Please go ahead.
Nicola Tang: Thanks for taking the questions and congrats on closing the deal. I just wanted to ask in Human Health, could you explain a bit what drove the weaker than expected performance in Q4? Because I thought that the kind of supply chain issues are now behind you and perhaps you could give a little bit more color on your expectations or the outlook into 2024 in Human Health specifically? And how quickly can you start to work on cross selling in this area where I guess this was an area where there's overlap with Chr. Hansen, which could be addressed more quickly? Thanks.
Tobias Björklund: Thank you. Amy, please.
Amy Byrick: Yes, absolutely. So, as we say, I mean, pleased to see the second half of the year in human health stronger than the first half, and then again the sequential quarterly growth Q4 versus Q3 versus Q2. I think again, yes, slower than we had anticipated and then that's basically just the slower recovery, particularly on the HCP channel where we had the CMO related supply chain issues earlier in the year. And we see the momentum building, we see the business coming back, but it's just been slower than we had anticipated when we started on that journey. So that's really the key driver that we see. In terms of where we look going forward? Strong momentum, strong market pull, continued strong relevance and dialogue with customers about the relevance of the solutions we bring. And yes, Nicola, excited as well about the sort of complementarity of the portfolio of products, but also of channels. When we look at the new Novonesis combination and the ability to combine our innovation pipelines and bring that to market. I think, we are focused and already active in the first two days of sort of starting to share and train sales teams across. So still too early to give any view of when we’ll see those synergies coming in, but really excited about the potential that the complementary of the portfolios, and maybe just one other comment in addition to that complementarity, also that we can leverage the strength of the engine room that the end-to-end value chain from the legacy Chr. Hansen organization to really smooth our ability to deliver on the underlying growth potential that we see in the business.
Ester Baiget: Thank you, Nicola, for the question. Next question operator, please.
Operator: The next question come from Sebastian Bray with Berenberg. Please go ahead.
Sebastian Bray: Hello. Good morning and thank you for taking my questions. I have three, please. The first is on the contribution of 2G bioethanol to growth in 2023 and potentially in 2024. Is Novozymes effectively the sole supplier in this market? I can’t find any other enzyme producers that are offering 2G solutions at this stage. My first one. My second is on Household Care given the acceleration in growth in 2023 Q4, relative to pre-pandemic developed market volume levels, has there been any growth in developed markets since 2019 – pardon me, in volume terms. My last one is on energy. Are the hedges for energy for 2024 now concluded? Thank you.
Ester Baiget: Thank you, Sebastian. And then I’ll pass the very good questions to Tina, Anders and then Rainer on hedging. Maybe Tina, if you want to start with also Bioenergy.
Tina Fanø: Can you hear me?
Sebastian Bray: Yes, indeed.
Tina Fanø: Perfect. So 2G biomass is below 5% of the segment. And Sebastian, we are quite pleased with where we are. It has been, you could say, a long road in the biomass industry, and we are happy with that we have stayed focused on it and is ready to support the market, because as you say, it is a building industry and it is from the inside side. There isn’t, you could say, much other out there, but less than 5% of the segment.
Ester Baiget: Anders?
Anders Lund: Yes. On volumes in Household Care, it’s been super volatile in the period through COVID, so you may remember that we had a lot of, we had a spike in 2020, because of this hygiene scare. Then we had a decline in 2021, little bit more stabilization in 2023, and then we saw quite some decline, especially in Europe and North America in 2023. So, I haven’t done the full math of every four years on the averages, but I think we are actually basically quite flat. And the growth that we are seeing right now is not driven by underlying market volume growth, it’s driven by the innovations that we deliver, and it’s driven by the sustainability agenda. And where we are able to argue for actually an alternative way of doing laundry through biological means, that’s the driver of growth.
Rainer Lehmann: And coming to the hedging, basically more than two-thirds of 2024. Actually, we are already hedging. We’re also looking even beyond that. So there we are in good shape overall as a risk mitigation and strategy.
Sebastian Bray: Thank you.
Ester Baiget: Thank you. And last question, please.
Operator: The last question comes from the line of André Thormann with Danske Bank. Please go ahead.
André Thormann: Thank you for taking my question. I’ll just stick to one question here in terms of freshness, then, can you maybe give some flavor on how much are you selling of this solution currently in DKK? And do you still expect this above DKK1 billion in 2028? Thank you.
Ester Baiget: Anders?
Anders Lund: So, as we said, innovation is a significant part of what we see right now in Household Care. Freshness is a part of that, and actually a significant part. We’re not giving you sort of a detail on where we are on the journey. What is important is that on the path towards the DKK1 billion, we need to find a way to unlock the North American market. And we don’t have a solution, that we have a clear timeline, we have a lot of efforts going into it from an R&D perspective. But that is the unlock on that journey. And of course, by the time we have more confidence in that on timing, we will let you know.
André Thormann: Okay. Thank you.
Ester Baiget: Thank you. And thank you all for your time calling in. Thank you also to the legacy Novozymes XLT [ph] for calling in some of us around the globe, as you see already focusing on customers and bringing the voice of Novonesis. Very good year. We are in a really good place, in a place of comfort for unleashing the potential of biosolutions, showing the wall that the era of biosolutions have started, and delivering on the expectations and the commitments that we put in place. More to come before the end of March and then looking forward also for the dialogue with each of you in the next coming days. Thank you.